Operator: Good morning, ladies and gentlemen, and welcome to Modine's First Quarter Fiscal 2024 Earnings Conference Call. At this time all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Ms. Kathy Powers, Vice President, Treasurer and Investor Relations.
Kathy Powers: Good morning and thank you for joining our conference call to discuss Modine's first quarter fiscal 2024 results. I'm joined on this call by Neil Brinker, our President and Chief Executive Officer; and Mick Lucareli, our Executive Vice President and Chief Financial Officer. We will be using slides for today’s presentation, which can be accessed either through the webcast link or by accessing the PDF file posted in the Investor Relations section of our website, modine.com. On Slide 3 is our notice regarding forward-looking statements. This call will contain forward-looking statements as outlined in our earnings release as well as in our company’s filings with the Securities and Exchange Commission. With that, it is my pleasure to turn the call over to Neil.
Neil Brinker: Thank you, Kathy, and good morning, everyone. This has been an exciting quarter for Modine. First, we delivered another record quarter with 15% top-line growth and adjusted EBITDA of $80.4 million, an increase of 91% from the prior year. Second, we completed our first acquisition since announcing our transformation strategy with the addition of Napps Technology and the Jetson brand into our product portfolio in early July. Napps has a small chiller range that fits nicely within our indoor air quality business, providing an additional product line for our target schools market. I'm excited to welcome Napps' President, Sam Neale and his team to Modine, and look forward to continuing to manufacture this great product at their facility in Longview, Texas. This acquisition is directly in line with our growth strategy, which is focused on differentiated technologies and systems that address real-world needs. Most importantly, this acquisition demonstrates our commitment to responsibly investing in key verticals where our objective is to grow faster than the market. As a result, we're making great progress on our financial targets and planting the seeds for future growth. But this doesn't mean that we're reaching the end of the journey. In fact, I would say we're still in the early stages of this transformation. There is an additional opportunity for incremental revenue and margin growth as a greater percentage of our business portfolio shifts to the growth column, and as we further simplify and rationalize low-margin products. Please turn to Slide 5. The Climate Solutions segment delivered another strong performance this quarter with revenue up 11% from the prior year and an adjusted EBITDA margin of 18.3%, up 500 basis points from the prior year. In Climate Solutions, we are well along in our 80/20 journey and have proved out the effectiveness of this approach. We stabilized the business by providing the leadership, resources and strategies necessary to improve our operating margins and accelerate top-line growth. I've often said that data centers is the tip of the sphere, and it's leading the way in both revenue growth and margin improvement. In the first quarter, data center sales more than doubled from the prior year at margins above our segment targets. This is the result of a dedicated focus and strategy to grow, investing capital and the resources as we've never done before. Mick will provide more detail in a minute. But we're raising our outlook for data center revenue growth this year, now targeting a 60% to 70% increase, which would equate to over $270 million in data center revenue this fiscal year, up from $174 million year. This large change in our forecast is primarily due to higher-than-expected orders in Q1, which will positively impact the back half of the year. We have a strong backlog, including both hyperscale and colocation customers. In addition, we have a pipeline of new products and new customers that we are confident will fuel above-market growth in the future. I often get questions about our next-generation technology in data center arena, particularly as it relates to high-performance computing, supporting AI, machine learning and other applications that require more advanced cooling technologies to deal with a higher heat load. This technology is still developing, and it's an area that we're very interested in, and we've done some R&D here in the past. We will continue to develop this technology organically, inorganically or both, and are actively monitoring and assessing the landscape. We see this as a great opportunity for us to add to our portfolio of data center cooling products. As data center products could become a bigger portion of our portfolio, this revenue stream provides a level of diversification away from our traditional heating and HVAC markets, both in the HVAC and HTP verticals. In fact, our heating sales were down nearly 40% in the quarter due to weak market conditions and the sales of key transfer products were down 7% from the prior year. Despite this decline, margins actually improved due to lower material and freight costs and greater labor efficiency. When demand started to change, we quickly shifted our efforts to operational improvements leading to a solid performance. Please turn to Slide 6. The Performance Technologies segment also delivered strong results this quarter, with revenue up 18% from the prior year and an adjusted EBITDA margin of 11.2%, an improvement of 560 basis points. In fact, the margin is exactly doubled from the prior year. Much of this gain is due to the hard work the team has put into improving commercial terms and our long-term contracts, helping to recapture margin loss to material, labor and overhead inflation over the past several years. In many cases, we've benefited from these adjustments earlier than expected, leading to our quarterly performance exceeding our expectations. The important thing to understand is that our teams are focused on the value that we deliver to our customers and they're negotiating agreements that are fair to both parties. In addition, we're winning incremental business in targeted markets with accretive margins. Much of this is due to the 80/20 work that we've done so far in the PT segment. We are evaluating our business using a data-driven approach and are simplifying, improving wherever possible. For example, in our liquid cooling applications business, we've eliminated 73 SKUs, representing over $20 million of annual revenue that was at negative gross margins. In some cases, we're getting favorable commercial terms as we negotiate exits on nonstrategic product lines. As the business wind down, we plan to replace it with higher margin opportunities. An example of this is the genset business, which I've mentioned before. We have been in this business for a long time, but it was never a strategic focus. Now, we are working with existing and new potential customers to support the conversion from copper brass to aluminum heat exchangers, similar to what the vehicular OEs did decades ago. Aluminum has built a cost and performance advantage. And we have a technology and global footprint to deliver in the region. There are great drivers for the growth in this business as data centers, hospitals and other critical applications, secure backup power to guarantee continuity of energy supply. This was about a $50 million business for us last year and we expect this business to have a 30% CAGR over the next 3 years, definitely in the growth column. Another business in the growth column is our EV Systems business. We have a number of important launches this year, but some are being delayed due to supply chain constraints, but the demand is there. As for the commercial funnel, we are up to 25 program wins, including 2 wins for our fuel cell product. This pushes our awarded revenue at peak annual production to over $150 million. Again, I'd like to reiterate that we are just getting going on 80/20 in the PT business but are seeing remarkable early results. We are investing in those businesses that have the right growth drivers and addressing low-margin business in different ways throughout the segment. We've simplified our product offering and are negotiating favorable exits, while also working to improve commercial terms to recapture the value that we provide to our customers, all while further investing in the technology of the future. I'm very proud of the work being done in both segments and the results we have delivered this quarter. Now I'd like to turn the call over to Mick, who will review our results for the quarter and provide segment financial updates.
Mick Lucareli: Thanks, Neil, and good morning, everyone. Please turn to Slide 7 to review the segment results. Climate Solutions had another great quarter with improved earnings and higher sales. Segment revenue was up 11%, driven by our data center vertical, with sales up 124% or $38 million. The data center increase is fantastic, given it supports one of our most attractive markets and is quickly becoming a very large portion of Modine's total revenue. A significant piece of the increase is related to North American chiller sales as we ramp up production at our new plant to Virginia. We entered the year with a strong backlog and realized some of the sales much earlier in the year than originally planned, which added to a stronger-than-anticipated first quarter. HVAC&R sales were down a modest 2% or $1 million, driven by lower sales of heating products, partially offset by higher indoor air quality sales, which were up 40%. The heating market remains down largely due to higher field inventories and lower preseason stocking sales. Sales of heat transfer products decreased 7% or $9 million. As anticipated, there was some market softness with commercial refrigeration customers and in various residential-related markets. And we are also continuing 80/20 product rationalization activities. We're pleased with the very strong earnings conversion as adjusted EBITDA increased 53%, resulting in a 500 basis point margin improvement to 18.3%. The earnings and margin improvements were primarily driven by higher sales volume and benefits from 80/20 initiatives. The Climate Solutions segment continues to perform very well and is off to a strong start to the year. The growth in data center sales is driven by a robust backlog, which is continuing to grow. With regards to heating and heat transfer products, we're maintaining a cautious outlook for the second half of the year, which has been incorporated into our revised guidance. Given these factors, we believe we're likely to see more level loaded quarters or less seasonality than in previous years. Please turn to Slide 8. Performance Technologies also had another great quarter with sales up a very strong 18% or $55 million. Revenue benefited from both volume and commercial improvements, many of which were realized earlier than expected. Sales volume accounted for $37 million or 12% revenue growth. Advanced Solutions sales were up 31% or $10 million with continued growth of our EV systems and component sales. Liquid cooled application sales increased 21% to $24 million due to higher sales across all end markets. Lastly, air cooled application sales increased 13% or $20 million, primarily due to continued strong demand from off-highway customers, with a higher sales in genset or stationary power applications, which we see as a significant growth area. Performance Technologies converted the higher revenue to an extremely high level of earnings. Adjusted EBITDA was up 135%, resulting in an 11.2% margin and a 560-basis point improvement. As Neil mentioned, the Performance Technologies segment has worked hard at modifying long-term contracts, and in some cases, we benefited from these adjustments earlier than expected. While we're making great progress towards our margin targets, I want to point out that it will be difficult to sequentially match this Q1 results. As we entered the year, the team had a long list of projects to execute. And we believe the results would ramp over the year, consistent with most of last year. As I just mentioned, we're pleased that some of our commercial negotiations were completed earlier than expected. And we're also able to capture some retroactive commercial benefits during the quarter. Lastly, as previously discussed, the team is pursuing multiple 80/20 product rationalization strategies, which could result in some reduced revenue. I want to be clear that these are planned actions and relate to business that cannot meet our margin objectives. Based on all of these factors, and as we look to the balance of the year, our full year outlook for this segment has improved, and we now see more even results over each of the four quarters. Now let's review the total company results. Please turn to Slide 9. First quarter sales were up 15% or $81 million. Higher sales volumes drove approximately $62 million of incremental sales or 11% growth. Commercial pricing added another $19 million to top-line. The gross margin improved 520 basis points, primarily driven by the factors that I reviewed for Climate Solutions and Performance Technologies. SG&A increased $5 million, primarily due to higher employee and incentive compensation expenses. However, SG&A as a percentage of sales was 50 basis points lower than the prior year. I'm happy to report that adjusted EBITDA was very strong in the quarter with an increase of 91% or $38 million. This equates to an adjusted EBITDA margin of 12.9%, or a 510-basis point improvement from the prior year. This also represents the sixth consecutive quarter of year-over-year margin improvement. Adjusted earnings per share, was $0.85, an increase of $0.53 or 166% from the prior year. Before moving to the balance sheet, I'd like to reiterate that the quarter was clearly stronger than expected. We now see a more level loaded year for several reasons. First, Q1 revenue was higher than initially expected in our plan, including a faster ramp than anticipated in some areas such as data centers. Second, Performance Technologies is achieving 80/20 benefits earlier than expected, including the settlement of new commercial agreements and some retroactive adjustments that will not carry through to future quarters. Third, raw material costs have been below our previous projections, which is favorable to Modine until we pass on the lower cost through our material pass-through agreements over the next few quarters. As a result, a portion of the strong Q1 earnings was due to timing and the accelerated benefit from some of these items. In a few minutes, I'll further discuss how we're rolling these impacts and the strong operating performance into our full year outlook. Now moving to the cash flow metrics. Please turn to Slide 10. We generated $27 million of cash flow in the quarter, which is a significant improvement over the first quarter of fiscal '23. This was primarily driven by higher operating earnings, partially offset by higher working capital and higher payments for incentive compensation. Net debt of $265 million decreased $20 million this quarter. Net debt, coupled with strong earnings resulted in a leverage ratio of 1.1. This fiscal year we expect continued growth in free cash flow, driven by higher earnings and a continued focus on working capital. We anticipate the full year free cash flow will fall in our target range of 3% to 5% of sales. Modine's balance sheet remains quite strong, ready to support both organic growth and acquisition initiatives, as was demonstrated by the acquisition of Napps Technology that we announced in early July. Now let's turn to our fiscal '24 outlook on Slide 11. As announced in the press release, we are raising our sales and earnings outlook for fiscal '24. Before I discuss the updated guidance, I want to review some modifications to how we report product group sales. First, we've refined reporting of revenue by product group within the Climate Solutions segment in order to be more consistent with how we manage by General Manager in manufacturing location. As part of 80/20, we're continuing to align our product groups and manufacturing with each of our general managers. As a result, we've recast revenue for fiscal '23 to be consistent with how the products are now reported in fiscal '24. There are no changes within Performance Technologies, but we made some minor revenue changes between data centers, HVAC&R and heat transfer products within Climate Solutions. We provided a summary table of the recast numbers in the appendix to this slide presentation. For the prior fiscal year, the recast resulted in a $20 million increase in data center revenue, a $5 million increase in HVAC&R, offset by a reduction in revenue for heat transfer products. To be clear, there is no change to total Climate Solutions revenue rather just minor classification changes between the three product groups. As I previously mentioned, our first quarter exceeded our expectations for several reasons, and this was certainly a factor leading to our improved outlook for the year. In the Climate Solutions segment, we now expect data center revenue to grow 60% to 70%, a significant increase from our previous guidance. And we now anticipate data center revenue to be more than $270 million. Moving to HVAC&R, we expect revenues to grow in the low single-digits and have lowered the top end of this range as we remain cautious about ongoing weakness in the heating market. However, we anticipate this should be offset by very strong sales growth in school ventilation products. With regards to heat transfer products, we now anticipate a sales decline in the low single-digits, which is a reduction from our previous guidance. This is primarily due to concerns over a general economic slowdown, especially in residential and commercial refrigeration applications. Also within heat transfer products, we're adjusting our projected ramp-up for sales to heat pump customers in Europe due to changes in regulations and incentives. We still anticipate this to be a high-growth market for us, but at a somewhat slower ramp rate. Moving to Performance Technologies. We expect continued momentum from relatively stable markets and benefits from our 80/20 rollout. We expect Advanced Solutions' growth to be in the 25% to 35% range, which did not change from last quarter. Growth is driven by program launches and continued demand for EV systems and components. We expect lower growth for liquid and air cool products as we roll out 80/20 throughout the segment. Market growth is expected to be somewhat offset by product rationalization as we continue to deemphasize lower-margin business. The product rationalization and associated lower revenue could result from negotiated program exits or from select divestitures. Let's move to adjusted EBITDA. Again, the first quarter was much stronger than we anticipated based on many factors, including sales volume, material margins and operational improvements. Based on the recent results and market trends, we're raising our adjusted EBITDA outlook for the year. We now expect our fiscal '24 adjusted EBITDA to be in the range of $280 million to $295 million, up from $240 million to $260 million and representing an increase of 32% to 39% versus the prior year. Also, when looking at the midpoint of the earnings ranges, our new outlook represents a nearly $38 million increase. Again, much of this change is due to the performance in the first quarter and some of the Q1 benefits won't necessarily repeat in subsequent quarters, including the realization of retroactive commercial adjustments. Based on this and our higher full year outlook, we now anticipate that the next 3 quarters will hover around $70 million versus the previous plan for a more back-end loaded year. The second and third quarters could be somewhat below the $70 million quarterly average with Q4 potentially above the average. Now that I've covered the very strong Q1 and associated sequential trends, I want to reiterate that our outlook assumes ongoing and very strong year-over-year improvement for the balance of the year. We anticipate that free cash flow will improve with the higher earnings outlook, with capital expenditures expected to be around $70 million. Our assumptions, including interest expense, taxes, depreciation and amortization are all included in the appendices attached to this presentation and our press release. To wrap up, we're extremely pleased with the first quarter results and how we've started fiscal '24. Our outlook remains strong. We're making progress towards our financial targets. And in many cases, we're trending well ahead of our initial transformation timeline and goals. I'm pleased to say that we're firmly on track with our transformation. But as Neil said, we're still in the early stages. This was a great quarter, but we still have plenty of work ahead of us, and we're quite confident in the entire Modine team. With that, Neil and I'll now take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Matt Summerville with D.A. Davidson.
Matt Summerville: Obviously, a great quarter. A couple of thoughts. Just with respect to Performance Tech, can you maybe quantify to the extent you can, how much retroactive benefit that would be kind of more onetime in nature that you saw in the quarter that you would not expect to repeat necessarily looking forward?
Mick Lucareli: Yes. Hey, Matt. It's Mick. Good morning. The total company, we estimate there is at least $10 million in the quarter of pull-ahead. Things we got earlier than we thought would happen plus some retroactive adjustments, and that's for the total company. As I look at it between PT and CS, I'd probably estimate that it's about 2/3, 1/3, about 2/3 of that coming in PT and 1/3 of that in Climate Solutions.
Matt Summerville: Okay. And then a follow-up. Data center business. Obviously, you had a pretty amazing first quarter here. Neil, I want to understand a little bit more about how you're approaching the high-performance computing market, the liquid cooling strategy, realizing you may have some current development paths going on here? But I guess from a timing standpoint, when should we expect Modine to be able to address that cross section of the market head on? And then, could you give a little bit more granularity around what incoming orders and backlog might look like specifically to data center, either year-on-year sequentially? Just whatever color you're willing to provide. Thank you.
Neil Brinker: Yes. Good question, Matt. Thank you. This is Neil. Sure. We've seen a very healthy pipeline within data centers. And when we continue to build out our customer base and broaden our customer base, particularly around the colocation side, these potential orders that are in the pipeline, when they break, they make large swings. So we typically don't predict some of these larger orders until they actually cut over to POs and that's where you're starting to see some of that adjustment as this funnel continues to grow. More and more is transitioning through the tollgate process into purchase orders. So we like that. We enjoy that, and we appreciate the work that we're doing with our customers there to help support them and meet this sustainability targets. Relative to liquid cooling, we've been close to this. We're going to remain close to this. This has been something that Modine has participated in for over a decade. We understand the shift in the technology. But we also understand that there isn't a clear technology winner, whether that is going to be immersion cooling or liquid and chip cooling. And we want to understand where the market will continue to evolve. And as this market becomes more dynamic around liquid cooling, we're going to continue to observe to see where the greatest opportunity is for Modine to penetrate. And again, that can be through agreements or inorganic growth or organic growth. We are in a good position to do either. And we'll move at the rate as the market adopts. And as the market adopts, we'll make those adjustments accordingly. So we're very keen to the market. We understand it. Our customers understand it. Our customers look to Modine for these solutions, and we'll make the adjustments appropriately.
Matt Summerville: Thanks, Neil. And then, maybe I'll just sneak maybe one more. And just to kind of use a baseball analogy, how would you characterize what inning we're in within the two business segments with respect to generating the 80/20 benefits you fully intend to achieve within Climate and Performance? Thank you. A - Neil Brinker Yes. Good question, Matt. This is Neil. So in Climate Solutions, we're halfway through the first game of a 5-game series. And in Performance Technologies, we're just getting started. So the teams, they're organized appropriately. They've picked the markets that they want to grow in. They understand the strategic initiatives and objectives, and we've put in the right leadership team in order to execute on those objectives. So as you know, we started Climate Solutions a year ahead of Performance Technologies deliberately, and they're tracking right in line with what our expectations were with the financial targets that we put in place in New York last year.
Operator: Our next question comes from the line of Chris Moore with CJS Securities.
Chris Moore: Couple of questions. Maybe just big picture on pricing. I know that you guys have raised prices aggressively over the past year or so up until at least recently. You talked about still being under-priced in many areas. Just wondering, is that still the case? Is there specific areas that you could talk to there?
Neil Brinker: Hey, Chris. This is Neil. Good question. Yes, we continually go out and evaluate the marketplace in terms of where we're positioned with price, as you know, in this inflationary environment and increases in metals and other commodities. We're often -- and regularly reassessing that and then having conversations with not only our customers, but our supply chain as well to improve those positions. So this is part of our business cycle, part of our business system, and it's how we operate. So frequently, would be the answer to that question.
Chris Moore: Got it. Helpful. Thank you. So my understanding is that auto OEMs have multiple vendor relationships with suppliers like Modine. However, they often sole-source a given platform. So assuming that factor, do you see situations where the OEM might be reluctant to allocate the internal engineering resources necessary to get another vendor specked in, even though your pricing is picking up significantly?
Neil Brinker: That's a good question, Chris. I think all OEMs have different strategies. They could have dual supply chains, single supply chain, triple. That depends on how they want to balance the strategic -- or supply chain risk, if there is any, whether that's an issue with a factory output production or it's an issue with logistics or maybe even price. I think they all have their own unique strategy. But that element that you just described and there's also an element of we've seen a conversion over to EV. And as we look at opportunities on the internal combustion engine side, and maybe there's adjustments there commercially that are made, I think you also have to consider whether or not it's worth the time and effort and energy in order to maybe find additional suppliers to provide that product, knowing that the platform is going end and it's going to convert to EV anyway.
Chris Moore: Got it. Very helpful. And maybe just last one for me. So it sounds like this 25 EV program wins $150 million. I'm just trying to understand over what time frame or are you kind of looking at that?
Mick Lucareli: Yes. It's Mick. It's going to be a significant ramp. Last year was about $50 million or so in EV business. And we estimate that, that will grow at 40% to 50% compound growth rate. So if you kind of extend that out, you get a feel for when you think we'll be hitting that run rate.
Operator: Our next question comes from the line of Jeff Van Sinderen with B. Riley Securities.
Jeff Van Sinderen: Let me add my congratulations on the strong metrics and overall progress. If we could look back to the data center segment for a minute, just wondering how fast that segment could grow? In other words, how much capacity do you have to meet demand if it happens to exceed your internal plan kind of ahead of expectations?
Neil Brinker: Jeff, good question. This is Neil. Thanks for that. We're evaluating our capacity and we're looking at redundancy, and we're making investments there. So as you know, 2 years ago, primarily most of the data center output and revenue came from the U.K. out of one facility. And since then, we've expanded to 2 facilities in the U.K. We've retooled an existing manufacturing facility in Spain to support data center growth for Continental Europe. We've modified a facility in Virginia to produce our chillers for North America. So we added additional capacity there, and we're adding capacity in Mississippi as well. So we're across 5 different footprints. And we have the capacity to continue to grow with the rates. We have more capacity than the actual stated percentage of growth year-over-year. So I'm not concerned about capacity. It's just a matter of being able to transition the conversation that we have with our customers and provide the products and the engineering solutions. The capacity in terms of factory, we're in a good position.
Jeff Van Sinderen: Okay. Great to hear. And then maybe if you could delve a little bit more into what you're seeing in the school market for indoor air quality? Just a little bit of update there?
Neil Brinker: Yes, that's a great business for us. We continue to gain share there in that space. We're working on the process of actually dedicating a facility to that. There's enough volume now that we can dedicate an entire facility to that. So we're getting that positioned and ready to grow. We see this outlook of growth at this rate for the next couple of years as well. The funding is continuing to flow through into the schools, they're making the decisions, they're upgrading the infrastructure. And we put ourselves in some pretty good positions with our reps and distributors to fulfill the needs of the customers.
Jeff Van Sinderen: Okay. Great. And then I had sort of a P&L question. On the gross margin that came in substantially better than we expected, which we know is going to focus during the current phase of transformation. Can you maybe speak to whether you believe the level of gross margin we saw in Q1 is sustainable? I know that you mentioned maybe a little bit of not linear progression over the next few quarters and the revenues. Just wondering how we should think about gross margin over the remainder of the year?
Mick Lucareli: Hey, Jeff. It's Mick. I mentioned to Matt's question, we estimate at least about $10 million in Q1 of good things that were pulled ahead. If we look at having an average in the next few quarters around $70 million, plus or minus, it's probably about a point of margin. So I think for sure, the gross margin is driving the earnings. We talked about that 80/20 is going to come through at the gross profit line. It wasn't an SG&A story and we expect that to remain elevated. But going like from Q1 forward, I would say it will remain elevated, but probably about 1 point or so below where we were in Q1. Obviously, in my comments, I think ramping towards the latter part of the year. As Neil said, we're still early phases of 80/20. So super hard to repeat all the one-timers benefits we've got in Q1, but then ramping again later in the year. And I'd say at about 1 point probably lower for the next couple of quarters.
Jeff Van Sinderen: Okay. That' helpful. Thanks for taking my question. I will take the rest offline. And please keep up the fantastic work.
Operator: [Operator Instructions] Our next question comes from the line of Tim Moore with EF Hutton.
Tim Moore: Thanks. And reiterating the very impressive [indiscernible] rates for the quarter. I was going to drill on to data centers, to other analysts speaking to it, most of my questions. But just maybe following up one more question on data centers, given the increased guidance and the sales growth coming in maybe 4x what you expected. Just back there on the capacity, you explained that there's plan to visit the Virginia site next week your plant to work. Are you getting enough labor there? And for the colocation center projects, I mean, how much lead time do you need on that? And I'm also just wondering, given the rapid growth of it this year, do you think that pulls in a little bit of the sales growth from next year? Or is this incremental market share wins, do you think?
Neil Brinker: Yes. Good question. Thanks for that Tim. We have a pretty broad labor force in BV, as you know, the Rockbridge facility where we produced the chillers. We've been able to secure the amount of good work and assembly workers there and pipe fitters that help us with that. We also have a facility in a factory that employs several hundred people, that's 10 miles away and we can flex labor back and forth. So if heating volumes were down, you could arguably flex the workforce in Rockbridge as well since we have multiple facilities in that campus and in that county. So labor isn't a concern for us at the moment. The second question was -- yes, so relative to visibility, typically, we start engagements with our customers and we start to move them through our pipeline. And it could take anywhere from the initial conversation to the point where we actually get an order of 6 to 12 months.
Tim Moore: Great. That's helpful. You already hit air quality, and I've been talking about that with all the mild buyers and the smoke pollution. But maybe I'll just switch gears. I mean, given air quality was up so strong and we know you probably have orders for the schools. But just my other question is really around acquisitions, given that you've kind of given that sales acquisition goal. Have you seen for your Climate Solutions acquisition pipeline, the asking prices become more reasonable over the last few months or are they still pretty lofty by the sellers?
Neil Brinker: No, that's a good question. It depends on the technology. It depends in terms of what the technology that they have to offer and at what level of adoption rate is or if it's specified or specked into the product that's being consumed today by the end users. So certainly, there's some hot markets as we grow out our inorganic pipeline. And I'll tell you, I'm really pleased with what the team has been able to do there. As we've got multiple opportunities at different levels and different gates, we're going to be cautious, and we're going to do the right things for the business as long as it aligns with the strategy. But certainly, we're starting to see some areas, like you just described, into air quality where you do see some of these elevated rates.
Operator: Our next question comes from the line of Matt Summerville with D.A. Davidson.
Matt Summerville: I apologize if you touched on this. But just back to the data center side of things, are you seeing pretty similar growth in both colocation and hyperscale markets? And are you still on the hyperscale side just doing business with the one large player? And do you think doors may be opening to some of the other hyperscalers?
Neil Brinker: 100% yes, doors will be opening to other hyperscalers. And the business mix is healthy on both sides. So we're seeing the growth in colocation, and we're seeing the growth with our hyperscalers customers as well. That combination of the two is why we're increasing our year-over-year objectives and targets in data centers.
Matt Summerville: I can't remember which one of you guys mentioned it. But I thought I heard that out of the five growth opportunities, right, you guys talked about a lot of the EV battery, it's data center, it's indoor air, it's genset and then European heat pump. And it sounds like that the growth rate on the latter might be decelerating a bit, whereas in some of the others, it sounds like it may be accelerating. So what's driving the pace of -- the rate of change on the European heat pump side of things? And does that give you pause with some of the capacitation you've been undertaking there?
Neil Brinker: We're going to continue to grow our Serbia facility and factory with CapEx. And we're going to continue to install machines and dedicate lines to the heat pump growth targets that we expect. So we're going to continue to invest in Serbia and build out that facility. The thing that gives us a little bit of a pause is the turmoil in the European market relative to what the priority is on regulation. As you know, there was a strong movement and there was a lot of followership behind moving away from natural gas in Europe. And there were regulations and incentives that were deployed to do just that. But recently, we've seen a different priority that's got some traction in Europe around reducing GWP. And in order to do that, you have to use a different refrigerant. And a lot of the heat pump manufacturers aren't there yet to move at the same rate. So it's almost like we slammed the accelerator to move forward to deploy heat pumps in the European market and then we hit the brake at the same time relative to regulations around GWP. So we know that the European Commission will be getting together after the summer recess, sometime likely in September. And I think as soon as they work that out, we'll get back to the levels of key pump adoption that we had predicted. But for now because there seems to be a little bit of conflict between the two agencies there. We're launching this and observing.
Operator: I am showing no further questions at this time. I would now like to turn the conference back to Kathy Powers for closing remarks.
Kathy Powers: Thank you, and thanks, everybody, for joining us this morning. The replay will be available through our website in about 2 hours. And we hope everybody has a great day. Thanks.
Operator: And this concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.